Operator: Greetings. Welcome to the Atmos Energy Q1 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note this conference is being recorded. I will now turn the conference over to your host, Dan Meziere, Vice President of IR and Treasurer. Thank you. You may begin.
Dan Meziere: Thank you, Hillary. Good morning everyone and thank you for joining our fiscal 2022 first quarter earnings call. With me today are Kevin Akers, President and Chief Executive Officer; and Chris Forsythe, Senior Vice President and Chief Financial Officer. Our earnings release and conference call slide presentation, which we will reference in our prepared remarks, are available at atmosenergy.com under the Investor Relations tab. As we review these financial results and discuss future expectations, please keep in mind that some of our discussions might contain forward-looking statements within the meaning of the Securities Act and the Securities Exchange Act. Our forward-looking statements and projections could differ materially from actual results. The factors that could cause such material differences are outlined on Slide 25 and are more fully described in our SEC filings. With that, I will turn the call over to Chris Forsythe, our Senior Vice President and CFO. Chris?
Chris Forsythe: Thank you, Dan, and good morning, everyone. We appreciate you joining us and your interest in Atmos Energy. Yesterday, we reported fiscal '22 first quarter net income of $249 million, a $1.86 per diluted share. Our first quarter performance was in line with our expectations, reflects the ongoing execution of our operating, financial and regulatory strategies.  Consolidated operating income decreased $276 million in the first quarter, primarily due to a $39 million decrease in revenues associated with the refund of excess deferred tax liabilities. As a reminder, beginning in the second quarter of fiscal '21, and through the end of last fiscal year, we've reached agreement with regulators in various states to begin refunding excess deferred tax liabilities, generally over a three to five-year period.  These refunds reduced revenues throughout the fiscal year when those revenues are billed. The corresponding reduction in our interim annual effective income tax rate is recognized at the beginning of the fiscal year. Therefore, period-over-period changes in revenues and income tax expense may not offset with interim periods that will substantially offset by the end of the fiscal year. Excluding the impact of these excess deferred tax liability refunds, operating income increased $16 million over the prior year quarter.  Slide 5 summarizes the key performance drivers for each of our operating segments. Rate increases in both our operating segments, driven by increased safety reliability capital spending, totaled $47 million. Continued robust customer growth in our distribution segment increased operating income by $4 million.  For the 12 months ended December 31, we added 55,000 new customers, which represent a 1.7% increase. These increases are partially offset by a $20 million increase in consolidated O&M expense. As a reminder, in the prior quarter, we deferred non-compliance spending into late in the fiscal year as we evaluated our customer load during that time period. Therefore, the period-over-period variance partly reflects this timing difference.  The first quarter increase is primarily driven by increased pipeline maintenance activities. Consolidated capital spending increased to $684 million. The $227 million period-over-period increase reflects increased system modernization spending in our distribution segment, spending to close out Phase 1 of APT's Line X and Line S2 projects and project timing.  We remain on track to spend $2.4 billion to $2.5 billion in capital expenditures this fiscal year with more than 80% of this spending focused on modernizing a distribution and transmission network, which also reduces methane emissions.  We are also on track with our regulatory filings. To date, we have implemented $73 million in annualized regulatory outcomes, refunds of excess deferred tax liabilities, and currently with about $36 million in progress. Slide 17 through 24 summarizes these outcomes.  Slide 16 outlines our planned filings for the remainder of the fiscal year. To date, we have completed over $1 billion of long-term financing. Following the completion of the $600 million 30-year senior note issuance in October, we executed forward sales arrangements under our ATM program for approximately 2.7 million shares for $260 million. And we settled forward agreements on 2.7 million shares for approximately $260 million.  As of December 31, we have approximately $295 million in net proceeds available under our existing forward sale agreements. As a result of this activity, we have now priced a substantial portion of fiscal '22 equity needs and anticipate satisfying the remaining equity needs through our ATM program. As a result of this financing activity, our equity capitalization, excluding the $2.2 billion of Winter Storm financing, was 59% as of December 31.  Additionally, we finished the quarter with approximately $3.1 billion of liquidity. In January, we completed the issuance of $2 million of long-term debt through a tap of our existing 10-year 2.635% notes due September 2029. The net proceeds were used to pay off $200 million term loan that was scheduled to mature in April.  Following this offering and excluding the interim Winter Storm financing, our weighted average cost of debt decreased 3.81% and our weighted average maturity increased 19.23 years, which further strengthens our financial profile. Additional details for financing activities, our equity forward arrangements, as well as our financial profile can be found on Slide 7 through 10. And we continue to make progress on securitization.  Yesterday, the Texas Railroad Commission unanimously issued a financing order authorizing the Texas Public Financing Authority to issue customer rate relief bonds to securitize costs associated with Winter Storm Uri over a period not to exceed 30 years. We currently anticipate the securitization transaction will be completed by the end of our fiscal year. Upon receipt of the securitization funds, we will repay the $2.2 billion of Winter Storm financing we issued last March.  And in Kansas, we started our securitization proceedings at the Kansas Corporation Commission in late January. Based on the current procedural schedule, we are anticipating a financing order by the end of our fiscal third quarter.  Our first quarter performance was a solid start to the fiscal year. The execution of our operational, financial and regulatory plans are on track which positions us well to achieve our fiscal '22 earnings per share guidance of $5.40 to $5.60. Details around our guidance can be found in slides 12 and 13.  Thank you for your time this morning. I will now turn the call over to Kevin for his closing remarks. Kevin?
Kevin Akers: Thank you, Chris, and good morning, everyone. Before I begin my update today, I want to take just this opportunity to recognize and say thank you to all 4,700 Atmos Energy employees. It is through your dedication, your focus and effort that we safely provide natural gas service to 3.2 million customers in 1,400 communities across our eight states. Thank you for all you do every day for Atmos Energy.  I also want to take this time to thank our hometown heroes, our first responders and emergency responders for their continued dedication and support for all of us. And as you just heard, we're off to a great start. The results Chris summarized reflect the commitment of all 4,700 Atmos Energy employees as we work together to continue modernizing our natural gas distribution, transmission and storage systems on our journey to be the safest provider of natural gas services.  During the first quarter, we achieved several project milestones that further enhance the safety, reliability, versatility, and supply diversification of our system. For example, at APT, we placed into service Phase 1 of a two-phase pipeline integrity project that will replace 125 miles of Line X. As a reminder, Line X runs from Waha to Dallas and is key to providing reliable service to the local distribution companies behind APT's system. Phase 1 replaced 63 miles of 36-inch pipeline. Phase 2 includes an additional 62 miles of 36-inch pipeline and is anticipated to be completed late this calendar year. Additionally, we completed the first of a three-phase project to replace our existing Line S2. This 91 mile, 36-inch project will provide additional supply from the Haynesville and Cotton Valley shale plays to the East side of the growing Dallas Fort Worth metroplex. Phase 1 replaced 21 miles of this line and Phase 2 will replace an additional 18 miles and is expected to be completed late this calendar year. Phase 3, which will replace the remaining 52 miles, is expected to be in service in 2023. During the completion of Phase 1 for Line X and Phase 1 for Line S2, our teams used recompression practices to avoid venting or flaring over 70,000 metric tons of carbon dioxide equivalent. This is an excellent example of how Atmos Energy's environmental strategy is being integrated into our daily operations.  APT's third salt dome cavern project at Bethel is now approximately 80% complete and remains on track to be placed in service late this calendar year. As a reminder, this project is anticipated to provide an additional 5 BCF to 6 BCF of cavern storage capacity.  As I mentioned during our November call, we have started work on a 22 mile, 36-inch line that will connect the Southern end of APT's system with the 42-inch Kinder Morgan Permian Highway line that runs from Waha to Katy. This new line will support the forecasted growth and increased supply diversity to the North of Austin in both Williamson and Travis County in Texas. This line is expected to be in service late December of this year.  In addition to those system modernization projects, we continue to make progress in advancing our comprehensive environmental strategy that is focused on reducing Scope 1, 2 and 3 emissions and reduce our environmental impact from our operations in the following five key areas; operations, fleet, facility, gas supply and customers.  For example, across our storage facilities, we utilize advanced methane detection technologies, including gas cloud imaging, acoustic monitoring, forward-looking infrared handheld cameras, and laser-based remote methane leak detectors. At APT storage fields, we are making progress with the installation of the remaining gas cloud imaging cameras for continuous methane monitoring and anticipate completion by the end of this fiscal year. Our RNG strategy focuses on identifying opportunities to transport RNG for our customers. We currently transport approximately 8 BCF a year and anticipate another four projects to come online within the next 12 to 18 months. Those four projects are expected to provide an additional BCF a year of RNG capacity.  Furthermore, we are evaluating approximately 20 opportunities that could further expand our RNG transportation. Two, Zero Net Energy Homes are underway in Texas; one in Taylor and the other in Dallas. The home in Taylor is being developed through our partnership with the Williamson County Habitat for Humanity, and we estimate the home to be completed in late March.  And in Dallas, we are working with the Dallas Habitat for Humanity and estimate construction of this Zero Net Energy Home to begin mid-March. These homes use high efficiency natural gas appliances, coupled with rooftop solar panels and insulation to minimize the home's carbon footprint.  These Zero Net Energy Homes demonstrate the value and vital role natural gas play in helping customers reduce their carbon footprint in an affordable manner. Providing these families with a natural gas home that is environmentally friendly and cost efficient is just one way Atmos Energy feels safe in thriving communities.  And finally, over the next five years, we will invest $13 billion to $14 billion in capital to support the replacement of 5,000 to 6,000 miles of our distribution, transmission pipe, or about 6% to 8% of our total system. We will also replace 100 to 150 steel service lines which is expected to reduce our inventory by approximately 20%. This level of replacement work is expected to reduce methane emissions from our system by 15% to 20% over the next five years.  Our first quarter activities and initiatives reflect the continued successful execution of our strategy to modernize our natural gas distribution, transmission and storage systems as we continue our journey to be the safest provider of natural gas services.  These efforts, along with the strength of our balance sheet, our strong liquidity, has Atmos Energy well positioned to continue serving the vital role we play in every community; that is delivering safe, reliable, efficient and abundant natural gas to homes, businesses and industries to fuel our energy needs now and in the future.  We appreciate your time and interest this morning. We'll now open the call for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions]. Our first question is from Richard Sunderland of JPMorgan. Please proceed with your questions.
Richard Sunderland: Hi. Good morning. Thanks for taking my questions. Maybe just starting on O&M. How is the balance of work and timing tracking versus expectation? Just curious if you have any early sense here, I guess directionally where expenses are putting you in the guidance range?
Chris Forsythe: Yes, sure, Richard. This is Chris. Good morning. Really the O&M spending was generally in line with our expectations. As I mentioned in my prepared remarks, when you look at our current year compared to the prior year quarter, the prior year quarter was a bit of a low mark. So when you look at where we are now, it's roughly a 15% increase quarter-over-quarter. But we looked to the midpoint of our guidance compared with last year's O&M levels, that's about a 3% increase. So right now, we're still seeing O&M trending in that $7 million to $10 million range. And we believe that at least where we are as we sit today that that spending will continue to be in line with this expectation.
Richard Sunderland: Got it. Thanks for the color there. In the mid to the high level, could you outline the expected timing of major base rate cases over the next, say, two to three years, including the APT system?
Chris Forsythe: Sure. Again, we typically execute '18 to '22 annual regulatory filings. The fiscal second quarter is our busiest filing period. So we'll be making a number of GRIP filings at APT as well as in our Mid-Tex and West Texas divisions. We'll also be making a regulatory filing in Mississippi in early March as well as in Louisiana, and a secondary filing in July in Mississippi. So a lot of activity to be coming over the next several months. Much of this will be implemented by the end of the fiscal year. We will also file our West Texas and Mid-Tex filings, generally at the end of March 1, first part of April, and those are scheduled to become implemented on or around October 1. So really at start of the next fiscal year. With respect to APT, the general rate case is scheduled to begin in our fiscal 2023 time period. So we've factored that into our five-year plan. So the GRIP filing that we'll make here in mid February will be the last GRIP filing before that annual rate proceeding next year.
Richard Sunderland: Got it. Thanks for outlining all that. Thanks for the time today.
Chris Forsythe: Thank you, Richard.
Operator: Our next question is from Julien Dumoulin-Smith of Bank of America. Please proceed with your questions.
Julien Dumoulin-Smith: Hi. Good morning, team. Thanks for the time. Congratulations on everything here. Just following up here -- good morning. Just following up on Kansas here. Obviously, the process is kicking off here. Can you talk a little bit about the expectations on the tenders are ultimately on that proceeding? And frankly, anything else that you think is relevant that we should be talking about in terms of parameters? Obviously, kudos on getting the RSC finalized here?
Kevin Akers: Thank you. So on Kansas, as I said, we're kind of in early stages right now and beginning the securitization proceedings. In the terms of tenders, it will depend upon what market conditions look like. We're obviously going to be looking to seek AAA rating on that. And we will be working with our banking partners as well as with the staff to determine the appropriate period to make these securitization costs, if you will, as affordable as we can for our Kansas customers. But it's still too early to tell where we are at this point.
Julien Dumoulin-Smith: Got it. Understood. And actually related, especially considering the progress that you've made with the RSC, how are you thinking about the rating agencies moving forward here on removing the outlook here, removing the negative outlook to be specific?
Kevin Akers: Yes, the dialogue we've had with both Moody's and S&P has been -- they've basically been telling us we're going to wait to see what the Texas Railroad Commission financing looks like. That was issued yesterday. I'm sure they have a copy of that. We're anticipating conversations with those rating agencies hopefully here this second fiscal quarter.
Julien Dumoulin-Smith: Got it. And a quick last one here just on tax rate, obviously depressed here. The comments in the transcript here, to the extent to which you should expect to continue to see this rate going forward, the lower rate, just given the tax liabilities?
Chris Forsythe: Sure. So our effective tax rate for the first quarter was about 5.9% that we're anticipating, including the excess deferred tax liabilities and effective income tax rate in the 7% to 9%, given that we are refunding these excess deferred tax liabilities over the next three to five years, that effective tax rate should be in place in that general range over that time period. So when you back out the impact of the excess deferred tax liability refunds, the marginal effective income tax rate is in the 22% to 24% range.
Julien Dumoulin-Smith: Right, yes, indeed. Thank you for clarifying that. Sorry, actually, if I can, could I ask the last question on APT. 
Kevin Akers: Sure.
Julien Dumoulin-Smith: How are you seeing customer growth trend here? Some of your peers talking pretty robustly of late. Just curious to see what you're seeing, especially the impact to some of your other jurisdictions here, like APT?
Kevin Akers: You're talking about particularly here in the metroplex, Julien. As Chris mentioned in his opening remarks, we've been growing just a little bit north of that 1.7% here in the metroplex, probably in the 40,000 to 45,000 customer range per year. It's a lot of residential growth. And as you get those rooftops, as you know, you'll have the supporting commercial businesses as well. We do have a few industrial customers that come in the metroplex area. A lot of this is also showing up in residential rooftops down in the Austin corridor as well. Again, that's why we're putting in that Permian connector line down there; forecasted growth, forecasted demand, expansion down there with all of the people moving in from various locations across the country. That's what we're seeing at least here in Texas across our other jurisdictions, as we talked about, it's been a really good diverse mix of not only residential but as well as industrial growth as well. I think at our fourth quarter call that we added 45 industrial customers last year that we anticipate once they're fully online or utilized somewhere between 12 BCF and 14 BCF of natural gas, that equates to around 200,000 residential customers. And these are customers that are in the metals, they're in healthcare, they're in the auto industry, a good variety of distilling. So we're getting a good mix of natural gas demand and response for the product across all sectors, whether that's Kentucky, Tennessee, Mississippi, good industrial growth. We continue to see good residential growth in our Colorado properties with people coming from the West Coast into Colorado, and then again outside of Olathe, Kansas property.
Julien Dumoulin-Smith: Got it. Excellent. Thank you, guys. I appreciate it. I'll pass it on.
Operator: Our next question is from Insoo Kim of Goldman Sachs. Please proceed with your question.
Insoo Kim: Thank you. My first question is just on cost overall. I think you've recorded in the fiscal first quarter that distribution gas cost of over $7 per Mcf versus I think $4 range last year. And thinking about that and other potential inflation factors, whether it's labor or other commodities for CapEx, any -- when you do the math, any concern there in your ability to achieve, whether it's a '22 or beyond CapEx while managing the bill impact?
Kevin Akers: Yes, so I'll start out and then hand over to Chris. The short answer is no on that. As you've heard us talk about at the end of last quarter when we kind of rolled out our five-year plan and forward-look there, we did have some of this contemplated in our O&M projection that Chris just talked about. As well you've heard us also talk about we worked very hard throughout the procurement team to stay ahead of some of our needs. We try and keep at least a six-month inventory. We're trying to increase that now, whether that's at our supplier or in our own warehouses. And as you may have heard us say before, all of our steel pipe needs for this fiscal year, all those projects that we just talked about, all that pipe is on site, at location. So we feel like we're in really good shape. We stay ahead of our needs to our vendors. So at this point, I think given the work for our procurement team, given that we've got our pipe needs, at least our steel pipe needs covered at this point, we anticipate that our O&M levels that we have baked in right now should be able to handle what we're seeing right now. It should not have any impact on our CapEx spend going forward in the short range.
Insoo Kim: Got it. Thanks for that reminder and that's good color. My second question is kind of related to that or maybe on the other side. I think we've seen the gas basis in your Texas region kind of widen out, again, talks about takeaway capacitor concerns. You're obviously working in line to connect with the Kinder line there, but any views on future gas cost forecast in your Texas jurisdiction and any opportunity to potentially take advantage of that spread in the near or longer term? Acknowledging that from a hedging perspective, I know you're limited on kind of what you can do.
Kevin Akers: Yes, I'll start out and again we'll see if Chris wants to add anything here. I'm looking at the Waha prices this morning, cash prices, and we’re sitting at $3.60 out there. The forwards for Waha if you're taking a look at that for the April off period is around $3.45, something like that. So no crystal ball here, obviously. But I think when you look at the rig count that we're seeing, just last week of well over 600 rigs in the U.S. working, about half those in the Permian, we're seeing production levels that are now in the 14 BCF to 14.25 BCF a day range with projections. I think by the end of this calendar year first of '23 in the 16 BCF a day range, I would hope that kind of supply pushes these prices down even further. But we'll have to wait and see on that piece of it. But very encouraged again by the number of rigs, the supply that's coming online. And just one last comment there on the basis differential. Remember that that's part of our Rider REV mechanism we have on APT and 75% of that goes directly back to the customer to reduce those rates, so that is a sharing mechanism there for those customers' benefit. Chris, anything additional?
Chris Forsythe: Yes, I think the Rider REV comment is spot on, Kevin. We don't -- we certainly think about that in our planning process. It is not a material portion of APT business.
Insoo Kim: Got it. But at least it would help with the bill headroom, so I guess indirect benefit on that front.
Chris Forsythe: Yes.
Insoo Kim: Got it. Thank you so much.
Chris Forsythe: Thank you.
Operator: [Operator Instructions]. Our next question is from Ryan Levine of Citi. Please proceed with your questions.
Ryan Levine: Good morning.
Kevin Akers: Good morning.
Ryan Levine: I was hoping just to follow up on the APT expansion to the Permian Express. Can you elaborate on kind of the timeline in terms of executing on that project and if you're seeing any other commercial development opportunities off of APT that are getting more traction?
Kevin Akers: Well, as I said in my opening remarks there, this is going to be a 22 mile line, 36-inch. It certainly will help us meet the forecasted growth in that Austin corridor, both in Williamson and Travis counties down there. And we anticipate this line to be in service late this calendar year, it could be first of next year. We're well on our way with all the necessary aspects to get that project rolling forward. So you're right. Those are the projects outlined; Phase 2, S2 Phase 2 and Phase 3 of S2 and then project here are the major projects we have on tap for APT along with the finalization of that third cavern there. And those all again will bring that diversity, reliability and versatility to APT system, many areas to bring supply and increase capacity.
Ryan Levine: And you have all the right aways [ph] and supplies already procured to help execute on that project?
Kevin Akers: Yes, we have the majority of what we need to begin work on that at this time.
Ryan Levine: Okay. And switching gears in terms of the financing plan. You outlined your maturity schedule. It looks there is a bigger maturity due next year with some floating rate. Curious how you're thinking about staggering your debt maturities going forward and also in context of the recent decision from yesterday?
Chris Forsythe: Sure. So the big maturity that you see next year is the $2.2 billion interim Winter Storm financing we executed last March. We're anticipating with the completion of the Texas securitization process by the end of the fiscal year that we would use the net proceeds received from that securitization process to repay that $2.2 billion. So, again, setting aside the $2.2 billion, when you look at it, the average maturity is 19.23 years. We're in a very, very good spot. And as we continue to execute the five-year financing plan, Dan is here and his team are looking at all the options that are on the table in terms of laddering and maturity schedules, all in with the idea of trying to minimize costs for our customers.
Ryan Levine: Okay. And then last question for me. There continues to be talk of LDC assets in the market for sale. Curious if there's any change in how you're looking at deals and if you're spending any more time contemplating acquisitions?
Kevin Akers: Well, as we've said before, we certainly don't have our heads in the sand here. We always got our eyes and ears open on the market and what's going on. But we believe we have the best properties out there and we're in very supportive natural gas states, communities, we have very supportive regulatory and legislative jurisdiction that you know with six of our eight states having All Fuels Bill. Another one, Virginia, I believe has something in the legislature this year along the lines of an All Fuels Bill, so that could move us to seven of our eight jurisdictions. As we talked about this morning, these communities are growing. They're expanding both residential, commercial and industrial. And as we've talked about before, we don't need an acquisition to meet our 6% to 8% earnings per share growth that we talked about in our plan. So at this point, we remain focused on executing our system modernization strategy, as we continue our journey to be the safest provider in natural gas services.
Ryan Levine: I appreciate the time. Thank you.
Kevin Akers: Thank you.
Operator: We have reached the end of the question-and-answer session. I will now turn the call back over to Dan Meziere for closing remarks.
Dan Meziere: We appreciate your interest in Atmos Energy and again thank you for joining us. A recording of this call is available for replay on our Web site through March 31, 2022. Have a good day.